Operator: Good day and welcome to the Steel Dynamics First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's remarks, we'll be conducting a question-and-answer session and instructions will follow at that time. Please be advised this call is being recorded today, April 20, 2023, and your participation implies consent to our recording of this call. If you do not agree to these terms, please disconnect. At this time, I would like to turn the conference over to David Lipschitz, Director, Investor Relations. Please go ahead.
David Lipschitz: Thank you, Matthew. Good morning, and welcome to Steel Dynamics first quarter 2023 earnings conference call. As a reminder, today's call is being recorded and will be available on our website for replay later today. Leading today's call are Mark Millett, Chairman, and Chief Executive Officer of Steel Dynamics; Theresa Wagler, Executive Vice President and Chief Financial Officer; and Barry Schneider, President and Chief Operating Officer. The other members of our senior leadership team are joining us on the call individually. Some of today's statements, which speak only as of this date, may be forward-looking and predictive, typically preceded by believe, expect, anticipate or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995 and should actual results turn out differently. Such statements involve risks and uncertainties related to integrating or starting up new assets, the aluminum industry, the use of estimates and assumptions in connection with anticipated project returns and our steel, metals recycling and fabrication businesses as well as to general business and economic condition. Examples of these are described in the related press release as well as in our annual filed SEC Form 10-K under the headings Forward-looking Statements and Risk Factors, found on the internet at www.sec.gov, and is applicable, in any later SEC Form 10-Q. You will also find any referenced non-GAAP financial measures reconciled to the most directly compared GAAP measures in the press release issued yesterday entitled Steel Dynamics reports first quarter 2023 results. And now I'm pleased to turn the call over to Mark.
Mark Millett: Thank you, David. Good morning, everybody. We certainly appreciate you all joining us for our first quarter earnings call today. As you read, once again our teams achieved a solid financial and operational quarter. It was highlighted by most importantly, a consecutive quarter of significant safety improvement. 82% of our facilities were incident free and most importantly, our piece of focus appears to be minimizing severity rate. We had record steel shipments of 3.3 million tons and adjusted EBITDA generation of a strong $950 million. Sinton's performance is showing improvement with a clear path to profitability in the second quarter '23 given the expectation of increased volumes. And we are also making great progress on our aluminum flat rolled investment. There's great excitement within the prospective customer base for a new and innovative supply chain solution. As always, I'm incredibly proud of our teams. They are the foundation of our company and they drive our success. It is their culture of excellence and the intentional diversification of our product portfolio that allows us to maintain higher utilization rates and maximize opportunities, resulting in higher lows and higher highs through all market cycles and producing superior financial metrics. However, for safety, great financial performance is of no import without having our team safe. Often, employees are described as a company's most important resource. But for us, for Steel Dynamics they're more than that, they're family. And now we number over 12,000 strong. We're focused to provide the very best for their health, safety and welfare. We're actively engaged in safety at all times, keeping it top of mind and an active conversation at every level of the organization. With that focus, as I mentioned, the teams safety performance further improved in the first quarter '23. But there's more to do, and we will not rest until we consistently achieve our goal of zero injuries throughout our organization. So with that said, and before I pursue the quarter, Theresa.
Theresa Wagler: Good morning, everyone. It's great to join you. I had my sincere appreciation and congratulations to the entire team for another strong operational and financial performance this quarter. Our first quarter 2023 net income was $637 million or $3.70 per diluted share, which includes costs of about $77 million, or $0.31 per diluted share associated with the startup of our Sinton Texas flat-rolled steel mill. Excluding those costs, first quarter 2023 adjusted net income was $691 million or $4.01 per diluted share. First quarter 2023 revenues of $4.9 billion were slightly higher than sequential fourth quarter results driven by record steel volume and increased metals recycling prices. Our first quarter operating income of $835 million was 10% higher than fourth quarter results driven by record steel volume. As we discussed our business this morning, we see positive industry fundamentals for 2023 and beyond, and we're focused toward a continued transformational growth initiative. Our steel operations generated strong operating income of $345 million in the first quarter. As record shipments of 3.3 million tons were partially offset by lower realized selling values. I also want to say congratulations to our structural and rail division, as they had another record earnings quarter supported by a strong construction market. Our flat-rolled steel mills were negatively impacted during the quarter with high cost pig iron that was purchased in early 2022 during the early stages of Russia's invasion of Ukraine. Based on current pig iron prices, earnings were impacted by approximately $50 million in the first quarter, but we have worked through that higher priced inventory now. Operating income from more metals recycling operations was $43 over threefold fourth quarter results due to increased demand, driving higher prices and volume. Our Mexican recycling operations have proven to be a strategic key for both sourcing scrap for our southern steel mills and driving profitability. Thanks to the Zimmer and Roka teams. We appreciate you. The team continues to effectively lever the strength of our circular manufacturing operating model benefiting both our steel and metals recycling operations by providing higher quality scrap, which improves furnace efficiency and by reducing companywide working capital requirements. Our steel fabrication operations achieved strong operating income in the quarter of $551 million, but lower than record fourth quarter results due primarily to seasonally lower shipments. Steel joists and deck demand remains very strong as evidenced by continued robust order activity. Specifically, our March order activity was extraordinarily strong. This is resulting in a strong order backlog extending into October and November of 2023. Based on our backlog, customer sentiment and manufacturing momentum, we expect steel fabrication earnings to remain strong throughout the year, including the second half. Our cash generation continues to be strong based on our differentiated circular business model and highly variable cost structure. At March 31, we had record liquidity of $3.5 billion, comprised of cash and short-term investments of $2.3 billion, and our fully available unsecured revolver of $1.2 billion. During the first quarter of 2023, we generated cash from operations of $734 million. We spent approximately $226 million on capital expenditures. We believe for the full-year of 2023, capital investments will be in the range of $1.5 billion, the majority of which relates to our aluminum flat-roll mill investments. In February, we increased our cash dividend 25% to $0.425 per common share. Based on our ability to consistently generate strong cash flow and aligned with our growth strategy. We also purchased $354 million of our common stock, representing approximately 2% of our outstanding shares. At March 31, $980 million remained authorized for repurchase under our new plan. Since 2017, we've increased our cash dividend per share by 174%, and we've repurchased $4.5 billion of our common stock, representing over 30% of our outstanding shares. These actions reflect the strength of our capital foundation and the consistently strong cash flow generation capability. We continue to be optimistic and confident in our future. Our capital allocation strategy prioritizes high-return strategic growth with shareholder distributions comprised of a base positive dividend profile that's complemented with a variable share repurchase program. While we remain dedicated to preserving our investment-grade credit designation. We've strategically placed ourselves in a position of strength to have a sustainable capital foundation that provides the opportunity for meaningful strategic growth and strong shareholder returns, while maintaining investment grade metrics. Our free cash flow profile has fundamentally changed over the last five years from an annual average of $580 million to today's average of $2.6 billion. Our aluminum growth strategy is consistent with our unchanged capital allocation philosophy. We will readily fund our flat-rolled aluminum investments with available cash and cash flow from operations. We also plan to continue strong and responsible shareholder distribution as we have clearly demonstrated. We're squarely positioned for the continuation of sustainable optimized long-term value creation. Sustainability is also a significant part of our long-term value creation strategy, and we're dedicated to our people, our communities, and our environment. We are committed to operating our business with the highest integrity. In that regard, we will remain excited about our joint venture with Aymium, a leading producer of renewable biocarbon products. We believe our first joint facility could decrease our steel Scope 1 greenhouse gas emissions by as much as 35%. And I want to specifically thank the biocarbon solutions team in Columbus, Mississippi that are doing a fantastic job and we still hope to start operating this facility in early 2024. We have an actionable path towards carbon neutrality that is more manageable and we believe considerably less expensive than what may lay ahead for many of our industry peers. Our sustainability and carbon reduction strategy is an ongoing journey and we're moving forward with the intention to make a positive difference. We plan to continue to address these matters and to play a leadership role moving forward. Before I hand the call back to Mark, for those of you that keep specific track of our flat-rolled shipments in the first quarter, we had hot-rolled and P&O shipments of 1,006,000. We had cold-rolled shipments of 132,000 and coated shipments of 1,192,000 tons. Mark?
Mark Millett: Thank you, Theresa. Although there was some seasonality in shipping volume for fabrication, we saw yet another strong quarter driven by the sustained market strength and an absolutely extraordinary execution by our team. Productivity of our operations is incredible. So thank you for all for the great job you all are doing up there. We continue to have high expectations for the fabrication business. We believe non-residential construction markets will continue to be robust in the coming years. Non-residential starts and build rates are forecast to remain strong throughout '23 and related spending has been significantly higher so far in '23 compared to last year at this time. There'll be continued onshoring of manufacturing businesses and infrastructure spending programs should provide momentum for additional incremental construction spending. More real time, our customers tell us demand remains solid, as confirmed by strong order entry rates, especially the most recent March order activity. Steel fabrication order backlog as Theresa suggested, extends seven to eight months into October, November with strong pricing dynamics. Not only a significant contributor onto itself, our fabrication platform provides meaningful pull through volume for our steel mills, particularly important in softer markets, allowing for higher through-cycle utilization rates. It also provides an effective natural hedge to lower steel price. Our metals recycling platform achieved a strong first quarter. Congratulations to them. They are on a path to higher volumes and increased metal margin. After seven consecutive months of declining pricing in '22 ferrous scrap prices improved in December and throughout the first quarter. Increasing well over a $100 per gross ton. We expect scrap pricing to remain fairly steady at these higher levels based on increased seasonal North American steel mill demand in Q2 and Q3. Our metals recycling geographic footprint provides a strategic competitive advantage for our steel mills and our scrap generating customers. In particular, our growing Mexican volumes enhance our Columbus and Sinton raw material positions. It will also strategically support aluminum scrap procurement for our future flat-rolled aluminum investments. Our metals recycling team is working closely with both our steel and aluminum teams to expand scrap separation capabilities through process and technology solutions. Our low residual shred 1 is just one example of that. The impact of these efforts, along with others in the industry is demonstrated that innovation will provide ample ferrous and nonferrous scrap supply in the years ahead. Our steel operations achieved record quarterly shipments of 3.3 million tons and solid financial results in the first quarter. Steel production utilization rate excluding Sinton was 94% compared to a domestic industry rate of 75%. Our higher utilization rates are clearly demonstrated throughout all market cycles. Value-added diversified product offerings provide broad optionality across all market segments. Enhanced supply chain solutions is driving customer preference and were supported by the internal pull through manufacturing volume. Our higher through cycle utilization rate is a key differentiator and supports our strong and growing through-cycle cash generation capability and best-in-class financial metrics. Looking forward, customer order entry is good and backlogs are solid. March in particular was a very strong booking month for the steel platform. Auto is solid. Auto production is expected to increase in '23 over '22 rates and dealer inventories have improved but still remain below historical norms. Build rate in '22 was some 14.3 million units, and we expect '23 to show 15.1 and a little higher in '24. Nonresidential construction remains strong, as evidenced by strong fabrication backlog and long product steel volumes. Our long products are seasonally solid from a backlog perspective and onshoring and infrastructure spending should provide further meaningful support in the coming years. Residential construction has softened to some degree, but that erosion appears to be easing a little, but that segment tends to be a small part of our overall portfolio. Oil and gas activity is very strong, driving improved orders for OCTG and line pipe and solar continues to grow appreciably. At Sinton, we produced 420,000 tons of hot band in the quarter, which is 56% of eventual capacity. Fifth and daily records were achieved in March, clearly demonstrating the mill's ability to reach the 3 million tons. As we discussed in our first quarter call, production through the quarter was impacted by certain supply chain issues related to bearings and rolls needed for the caster. This issue has now been resolved, and we expect a significant advance in productivity and earnings in Q2 and we should see the mill being EBITDA positive in Q2 for sure. We believe full-year capacity utilization could be in the range of 80% of rated capacity. The team has clearly demonstrated the key competitive advantages of the Texas Steel Mill. Full product dimensional capability has been proven. We have gone down to 50-ish and all the way up to one inch and all the way out to 84 inch width. The customers are reporting that the surface quality is absolutely exceptional. The hot strip mill design has allowed for thermal mechanical rolling, which allows the production of higher strength grades with lower alloy content with a significant reduction in production cost. Grade 80, Grade 100 has been achieved and we've already been approved and shipped some API grades. In my mind, this affirms our technical and process choices. And there's no doubt that this is the next generation electric arc furnace flat rolled steel technology of choice. We certainly have gained strong market acceptance. Commercially, we can sell everything we make and then some. With the Caster segment issue resolved, we're able now to fully lever our heavy gauge wide capability. Our onsite customers are busy with two of them already expanding their capabilities. Our exceptional through-cycle operating financial performance continues to support our cash generation and growth investment strategies. Relative to our expansion into aluminum, the market response from both current and new customers across our targeted market segments has been incredible. But to recap the project, that's a 650,000 metric ton aluminum flat rolled facility that will be located in Columbus, Mississippi. State-of-the-art facility serving the sustainable beverage and packaging, automotive and industrial sectors reproduces roughly 300,000 metric tons of can sheet, 200,000 metric tons of auto and 150,000 metric tons of industrial alloy. On-site melt cast slab capacity will be 600,000 metric tons, and that'll be supported by two satellite recycled aluminum slab casting centers, one in Central Mexico. We've already purchased the property there, and we're pursuing a Southwest U.S. site as we speak. Technology will include two cast lines, coating lines, and dense stream processing and packaging. We've expanded the project scope to include additional scrap processing and treatment to maximize aluminum recycle content. All the principal equipment is already on order, and we expect the roller mill to start up mid-'25, the Mexico Slab Center second half of '24 and the Southwest Slab Center probably the first quarter of '25. Total project cost, including the recycled slab centers is expected to be $2.5 billion, 100% to be funded with available cash and cash flow from operations. As we've said in the past, the expectation is to add somewhere between $650 million to $700 million of through-cycle annual EBITDA for the aluminum project, plus likely $40 million to $50 million for Omni. I think it's a very, very compelling investment premise. We see a market environment not unlike that in the steel industry when we started SDI 30 years ago. It's predominantly owed assets, little reinvestment, heavy legacy costs is inefficient with high cost operations. A significant aluminum flat roll supply deficit exists in North America and is expected to grow in the coming years. There is business alignment, we can leverage our core competencies of our construction strength and operational know how and also lever Omni's recycling footprint as Omni is the largest North American aluminum scrap recycler today. SDI culture will drive high efficiency and low cost and throughout the industry, there's a very steep cost curve which is going to support margin, a very, very cost effective, high return growth initiative. We're excited and impassioned by our future growth opportunities as they will continue the high returning growth momentum we have consistently demonstrated over the years. We were added to the S&P 500 Index in '22. We are arguably one of the top five steel producers in the world as measured by market cap and the third largest in North America relative to capacity. All these achievements in a relatively short time frame. We celebrate our 30th year in our business in '23 and there are only better things to come. Our teams are our foundation and I thank each of them for their passion and their dedication and we are committed to them. And I remind those listening today that safety for yourselves, your families and each other is our highest priority. Our culture and business model continue to positively differentiate our performance, leading to best-in-class financial metrics. We're no longer a pure steel company, but an integrated metals business, providing enhanced supply chain solutions to the industry, in turn mitigating volatility and cash flow generation through all market cycles. We're competitively positioned and continue to focus on providing superior value for our company, customers, team members and shareholders alike. And we look forward to creating new opportunities for all of us today and in the many years ahead. So, with that all said, I'd like to open the floor up for questions.
Operator: Thank you. [Operator Instructions]. Your first question is coming from Emily Chieng from Goldman Sachs. Your line is live.
Emily Chieng: Good morning, Mark and Theresa. Thank you for taking my questions this morning. I wanted to ask a bit about the fabrication volume expectation there and just trying to take a look at the 1Q number. It certainly was a little weaker than anticipated. You mentioned that there was some seasonality and some customer supply chain constraints there. Can you provide some color as to what they were? And how we move past this and anything you'd highlight as we look forward to the rest of the year as to what that volume trajectory could look like?
Theresa Wagler: Thanks, Emily. It's a great question. And there was seasonality in the first quarter, but there was also some movement because some of the customers are experiencing supply chain constraints as it relates to construction labor and as it relates to materials. And so it's just simply pushing out orders. It's not changing the entirety of the volume itself. So the order backlog with some of these projects has actually pushed out even further than into that October, November time frame. So it's a shifting of volume, I guess is how I would phrase it. As Mark mentioned, and I mentioned in my notes as well, March was an extraordinary order entry for our steel and joists deck business. And that really is, I think a testament to the strength of that market today. And if you think about the benefits that are kind of outside of just normal construction arena, if you think about manufacturing that has momentum behind it because of the Inflation Reduction Act, because of the infrastructure program, manufacturing onshoring et cetera, we really expect our fabrication business to experience very strong volumes this year as it's supported by those extraneous additional tailwinds, if you will.
Emily Chieng: Great. Thank you.
Operator: Thank you. Your next question is coming from Curt Woodworth from Credit Suisse. Your line is live.
Curt Woodworth: Thank you. Good morning, Mark and Theresa. A follow-up question on fabrication as well for me. In the past, you've talked about backlog pricing in the $5,000 per ton level. We've been hearing that price has definitely come in a lot from kind of peak levels last year. So I just wanted to get a sense for if you could comment on pricing you're seeing in the market. And then you talked about the March order entry being very good. Can you give us a sense of what the makeup of that backlog or that order entry is? And then if you give any comments on EBITDA per ton expectations?
Theresa Wagler: Curt, you're trying to be tricky. You know, we won't give EBITDA per ton, but I appreciate you trying. As it relates to the order activity, to give you a sense of it, it was well more than double the order activity that we've seen kind of in the more recent time frame, January, February, December time frame. So it was incredibly robust. And most of that activity came from what I'm going to call industrial and manufacturing related business. So I think one needs to keep in mind when people talk about nonresidential construction, I think they like to hone in on office space. And there's many other categories as it relates to what would impact steel joists and deck demand. And that's where we're seeing a lot of momentum. So that order activity for us is very much focused on those larger projects. And I think that's where the funding from those projects, a lot of the times are actually already funded. They're not bank funded, but they're project oriented funding from large corporations themselves or now there's public funding support as it relates to decarbonization efforts and the Department of Energy and the excess funds that will be coming in those arenas as well. So there's a lot of extra things, I think that will support the volume going forward. But for us, it's primarily in that industrial manufacturing base at this point in time. As it relates to pricing, the commercial teams would be very upset with me. Barry is laughing, if I were to try to give any commercial guidance at this point, I would tell you that as we've said in the past, the average price in the entirety of the order backlog is still very high from a historic perspective. It's not at the peak pricing that we saw, but it's very much aligned with what we have seen for the entirety of last year as an average.
Curt Woodworth: Okay, that's helpful.
Mark Millett: And just for clarity, when we say that the backlog isn't peak pricing, the sustained backlog, that's kind of extending out is at very, very, very good past pricing. The new pricing coming in, as you mentioned, is off a little from that for sure, but relative to a historic basis, it is way, way higher than historic norm.
Curt Woodworth: Okay, and then just a quick follow-up on Sinton, as we think about that asset running 56% utilization, but having a net loss of $70 million. We would think that given where metal spreads are today, if that asset could be 70% utilized in the second quarter, it theoretically should make a lot of money, right, but it seems like there's still some kind of lingering startup issues, and you talked about some of the supply chain constraints. So can you help us understand a little bit about maybe the earnings power of that asset later this year or any frame of reference in terms of 2Q, in terms of what you think utilization rates could look like? Thank you.
Mark Millett: Certainly. Great question. I'd say if you look at the first quarter and certainly the fourth quarter, you had -- you might say a couple of extraneous impacts from a cost perspective. We obviously have higher price pig iron coming through, given our order early last year, second quarter of last year with the Russia and Ukraine sort of crisis. So that is peeling out now through the first quarter and a little bit in April. In anticipation of early startup of the downstream lines, we bought substrate, and again, that was at higher pricing, and that had to come through the system, and that is essentially sort of out of the system today. So we were carrying that sort of burden in the fourth quarter and in the first quarter, and some of it will come into the second, but it's substantially reduced. Obviously, the main principal driver is volume. Volume, volume, volume drives the successful performance of any major capital asset, and certainly a startup asset such as this. We were at 56%. And our confidence in the technology, I think at least for me, is driven by windows of absolute amazing performance. Where we've had shifts, we've had weeks. We're at 75%, 80% of capability already. If you look at sequence lengths, which we and our industry for sure is an indication of the effectiveness of the teams and the equipment. We're averaging, I think a little over 13 heats sequence. We've been as high as 22 heats, 23 heats, and each heat is whatever 200, 210 tons per heat. My mind amplifies the capability of the asset. We just have to get the reliability of all the equipment. And again, as you know, Curt, it's in line. So the melt shop, the ladle furnace, the caster, the rock and mill, the finishing mill, everything has to be running in unison. And we're getting there with the segment bearing and role issue behind us, not hindering us. I think we're looking for a sort of a step function improvement here in the next month or two.
Theresa Wagler: Just as a reminder, on through cycle basis, we still believe very strongly that sitting, when it has four of the value added lines operating, we'll have a through cycle EBITDA in the range of $450 to $500 million per year. So that outlook hasn't changed. So it is a significant benefit long-term. It's just a matter of this year.
Curt Woodworth: Okay. Thanks. Best of luck.
Operator: Thank you. Your next question is coming from Carlos De Alba from Morgan Stanley. Your line is live.
Carlos De Alba: Great. Thank you. I'm just going to try it in a different way without maybe discussing the absolute levels. It is clear that the EBITDA per ton and the profitability of the fabrication business is extraordinary relative to history. It actually started based on what I've seen before the pandemic, but it exploded throughout the pandemic and it has remained at those levels. How do you see the normalization relative to say 2019 or 2017 to '19 average? Do you expect to be able to sustain a significantly higher profitability relative to that '17 to '19 average, even if it is lower than what we're experiencing today? I mean you probably understand that we're trying to figure it out what is a much more normal potential run rate of profitability in that business, just given how extraordinary the results have been? Thank you.
Theresa Wagler: Carlos. Thanks. I know everyone's trying to figure that out. And what I would say to that is, yes, we do believe that going forward, we're going to have -- there has been a structural shift and change in how the commercial aspect of the steel joist and deck business has materialized in the last two years, if I would say it that way. And the change is that, first of all, there's considerable volume and we believe that demand is going to stay in place for a considerable amount of time. There's limited supply. So in today's environment, and I think in the future environment, it's not so much as looking at just a product itself. But this is a highly engineered product, so it's looking at a product as well as a service. And that service is requiring time on the mill or time in the facility itself. And that has a value. And that's what now has come to the force that the customers understand there's a time element and a service element, as well as a very highly engineered product set. So we believe those are structural changes. And I think that that came to bear and was proven in the second half of 2022 when steel prices actually were being reduced pretty significantly. And we think an overcorrection. And yet we had increasing pricing within our steel joist and deck facilities themselves. So we do believe there's a structural change. I can't help you more than that. I would tell you that we expect very strong volumes this year to be comparable to last year. And I think that we've told you we've got an order backlog that goes out into October, November, and it has a significantly higher price. And that price is not too far off of what the average pricing would have been for 2022. So I think we've given you a lot of data points to hopefully help you with your estimates.
Carlos De Alba: That's great color, Theresa. Thank you very much. And if I may squeeze one more, maybe Mark, could you comment as to how you see right now obviously, that could change. But right now, how do you see the ramp up profile in terms of capacity utilization of the flat-rolled ali project?
Mark Millett: Slowly, I think the -- again, as I said earlier, I'm expecting a step function improvement in the second. I'm sorry.
Carlos De Alba: Yes, the ali, the aluminum project. Yes, Sinton you mentioned. Yes.
Mark Millett: I would suggest that it's and that's a great question in honesty, because we're wrestling with that. Ourselves right now to be honest, and trying to understand fully the -- some of the approval certification process of can sheet as opposed to auto sheet. The fact that we're creating slab ahead of time will aid that, and the fact that we have on the automotive side some very, very good relationships with two or three key auto producers that are seeking our aluminum. And I think that will accelerate that certification process. So, from the standpoint of actual ramp, it would imagine it wouldn't be too much different than you would expect for any facility. Sort of 50% for the first 12 months, 80% for the second 12 months, and then ramping up thereafter. That would be probably as good estimation as I would suggest to you.
Carlos De Alba: Great. Thank you very much, Mark.
Operator: Thank you. Your next question is coming from Timna Tanners from Wolfe Research. Your line is live.
Timna Tanners: Hey, good morning, everyone. Wanted to start off and ask a little bit more color on garage doors. I know you have a great position in garage doors and also on the warehousing side, if you could provide some more color on those end markets?
Mark Millett: Certainly garage door is off a little, Timna, for sure, in concert or in parallel with the residential erosion. But typically, as you see -- typically as you see the housing market come off. You see the replacement business go up. So it's not one for one, but it is off a little bit. The warehouse market. I think when you're talking about warehouse market, I'm assuming you're looking at the sort of distribution warehouse type facilities.
Timna Tanners: All right.
Mark Millett: Obviously there's been a lot of focus on the fact that Amazon overbuilt. Amazon wasn't a principal customer of ours. The other warehouse distribution organizations are not off to that same degree. That said, cloud computing pharma is very, very, very strong. And as Theresa mentioned, you're starting to see true sort of reshoring sort of industrial manufacturing growth, the Tesla's of the world, the battery facilities, that sort of thing.
Timna Tanners: Okay, that's helpful. Thanks. I wanted to follow-up on sitting a little bit to think about the cadence of when we're going to see some of these mix shifts or improvement in the mix with the value add. So just I know you talked about the galv lines coming on, and I also wanted to think about when we might see some more inroads into auto, given your ability to make the thicker slabs and perhaps penetrate that market earlier than other Minnie mills. Can you talk a little bit more about when we should start to see, first, the galvanized capacity ramp up within sitting and also the potential for penetrating exposed auto in the next several years?
Mark Millett: We're really excited with the ramp up of the galvanizing down at Sinton. We do have to feed our paint lines right now, so we are working automotive discussions and trials into our production plants, but we're also anxious on making sure the whole plants operational. All these units starting together. We want to feed the paint line, we want to feed our broader range of customers in the galvanized. We're really excited about the capabilities that we've seen in the galv line itself, paired with our technology on the hot side. So we are excited about the surface quality especially. That was one of the big decision makers for us. And to this point, we're really excited. We have not begun actually putting material into automotive plants, but we're engaging with customers that have entrusted our future with them and they're excited they come to the shop and they see a path. So our technical teams are very much in discussions there and very much complemented with our Columbus operations that are doing the workhorse of the automotive today. So we're excited to see it, and I think it has to happen at a pace that technical people are comfortable with, so that we can -- once we earn that business, we can entrust it with them that we're going to be shipping a good product into them. And obviously, Timna, the -- my watch has gone off, sorry? My ears are such that I don't hear high pitched voices. Well, definitely voices, but any sound. So if you heard my watch alarm, I apologize. But Timna, I think the auto penetration is going as planned, though. And if you look at the strength of our business model, the strength of Sinton itself, it's a very, very, very diversified product portfolio. And we can leverage different market segments and give us greater optionality. So currently the energy is incredibly strong. OCTG market line pipe is strong, and that will continue. I think, for the rest of this year, going into the next year, particularly with the infrastructure build out. And we're seeing actually, and it's surprising us a little bit, perhaps, but the energy markets for heavy plate or heavier plate, heavier products anyway, that we produce at any of our other mills, that is something that we're starting to leverage, particularly now we've got the caster issue behind us and can go up to full 1-inch thick. So we can sort of dance and work through or work around the different market segments. To be honest, that's the strength of Sinton. It's the strength of all of our flat-rolled facilities.
Timna Tanners: If I could sneak one in on Sinton. I forgot to ask about the Mexican exports. I've been hearing, actually, that's been a big advantage for sitting in and other mills in the south. Do you think that's more sticky than taking a share from AMSA being closed, or how much do you expect that could stick, assuming AMSA restarts?
Mark Millett: Well, I think the AMSA situation certainly is aided both not just the Mexican market, but the U.S. market, because Mexican output and capability has been sort of focused or redirected squarely within the Mexican market itself. So that's helped us. I think the customer base of AMSA is when you go through a shockwave like this, you sort of reflect on your future. And I think they see a need for optionality. But even when AMSA comes back, I think we're confident, in all honesty, of maintaining a lot of that business. So it's been very fortuitous for us.
Timna Tanners: Makes sense. Okay. Thanks for the detail.
Mark Millett: You're welcome.
Operator: Thank you. Your next question is coming from Tristan Gresser from BNP Paribas Exane. Your line is live.
Tristan Gresser: Yes, hi. Good morning. Thank you for taking my question. The first one, and I apologize, it's again about the fabrication outlook. You flagged that you're targeting volumes of last year. So strong volumes, is that fair then to assume a strong pickup than in volumes into Q2? And also the second part to that question is maybe on the moving pieces there for the outlook. It's also on the cost side, can you discuss a little bit the cost side there especially into Q2? I mean, we've seen flat steel prices double over the past month. The backlog is kind of locked. So anything you can say there in terms of potential cost pressure into Q2 that would be helpful.
Theresa Wagler: Thanks, Tristan for the question. Yes, as it relates to volume, I mean traditionally, you're always going to have your strongest construction months and project months and quarters in the second and third quarter. So we absolutely would expect to see stronger volumes in that time frame for our fabrication business, as well. As it relates to cost, we generally sometimes it changes, but we generally keep around eight weeks or so of steel on the ground for our fabrication business, uniquely, we use primarily flat rolled steels, a little bit of merchant steels in the process. So if you can kind of follow that bouncy ball with how you feel the pricing will look going forward and what's done in the recent past, and that should give you some inclination of how the metal margin will move pushing forward into the second quarter.
Tristan Gresser: All right, that's helpful. So the price increase we've seen has not been reflected at all.
Theresa Wagler: Yes, it lags about eight -- it would lag around eight to 10 weeks.
Tristan Gresser: All right.
Mark Millett: I want to emphasize the obvious here, because we all tend to sometimes focus near-term, but the New Millennium fabrication business as a whole is incredibly important, A, for pull-through volume, particularly in softer markets, as we said earlier, allowing the higher utilization rate through our steel mill. But it's also in this environment, maybe as steel pricing comes up, you get a little bit of squeeze and vice versa on the other side, opposite side. But there's a very strong natural hedge to our business here, and we've been very intentional with our growth into sort of value add, sort of diversification of our portfolio and the businesses that we grow to try and mitigate that volatility of through-cycle cash generation and not be as cyclical as we once were maintaining higher highs and higher lows, for sure.
Tristan Gresser: Okay, that makes sense. And maybe a quick follow-up on working capital, we've seen quite a good release in Q1, how would you see that evolve moving forward?
Theresa Wagler: Yes, so as we talked about it, there was a lot, there was a significant amount of working capital build in 2022. Much of that was not structural. It had to do with us layering on some additional raw materials with pig iron, some additional substrate that Mark mentioned. So we have been able to work through most, if not all of that. We still expect to have some working capital give back as we head into the second quarter, as we kind of still right size some of our inventory levels, et cetera. So it may not be as significant of a benefit as you've seen in the last two quarters, but we definitely think working capital will be a funding source heading into the second quarter.
Tristan Gresser: Okay, perfect. Thanks a lot.
Operator: Thank you. Your next question is coming from Andreas Bokkenheuser from UBS. Your line is live.
Andreas Bokkenheuser: Thank you very much. Good morning, everyone. Two quick questions for me. One on steel and one on ali. On steel, you're very obviously growing your volumes both quarter-on-quarter and year-on-year, and it certainly looks to be faster than the market. So you guys seem to be capturing market share. Assuming you agree with that, can you give us a little bit of color on where specifically you're capturing market share from peers? Is it non-res? Is it autos? Is it energy, possibly all of the above. But is anything kind of standing out? And maybe also why you're able to capture that market share, obviously. And then secondly, on the ali question, obviously you're targeting automotive, among other sub-industries. Where specifically will the ali go in automotive? Is this going into auto body sheet that historically has been dominated by steel and especially steel supplied by the blast furnaces? Is that where you envision the aluminum to go? Those are my two questions. Thank you very much.
Mark Millett: Okay. Well, for the standpoint of our increase in volumes, I would say yes, we are picking up market share. The geographic location of the Sinton, Texas plant is pivotal. Obviously, that was an underserved market. We have access into Mexico now much, much, much cheaper than any other U.S. mill to the tune of, well, we can get it down there for $40 -- $30. Yes, $30 sorry whereas if you're bringing it down from Northern Indiana, it's probably $100 plus. So there's massive geographic sort of advantage for that mill. And we're picking up, as I said, Mexican market. We're picking up energy again because of that location, OCTG and line pipe. So that is one sort of driver, the second driver, I think and I got to applaud the automotive team. They've done a phenomenal job over the last two or three years. The traction there is amazing, particularly with the European auto producers and we're favored because of our carbon footprint and our sustainability sort of profile. Our mills will be, they report, not us, but they report that our Columbus facility for instance, and our Butler facility are probably some of the lowest facilities or carbon producing facilities in the world. We're gaining a lot of market share from that. I think that those are probably the principal gains there. And then on the aluminum, firstly, there is a substantial supply deficit. That industry in can sheet and aluminum is reliant on a very, very large portion of imports today. So we would intend or believe that our low cost position, our efficiency and our commercial approach will be very, very well received and will offset A, some of those imports and B, pick up the share of growth in that industry. You mentioned kind of the steel aspect. Having aluminum in our portfolio gives us the advantage, I guess, if there is a steel decline in any one area with a pickup in aluminum, we can we can penetrate that or take advantage of that.
Andreas Bokkenheuser: That is clear. Thank you very much.
Mark Millett: Sorry, sorry, sorry, where is it going? Again, the facility is not -- in this case, unlike our start in and steel, we're not revolutionizing the technology necessarily. It's absolute state-of-the-art technology for sure. But it will have the same capability of any high class new aluminum facility in the world. So both unexposed and exposed.
Andreas Bokkenheuser: Got it. Thank you very much.
Operator: Thank you. Your next question is coming from John Tumazos from Tumazos Independent Research. Your line is live.
John Tumazos: Thank you.
Mark Millett: Good morning, John.
John Tumazos: Congratulations on all the progress. I'm looking at your almost $1 billion of cash flow for uses in the quarter, it's just so large and formidable without Sinton at a positive EBITDA and sheet prices were a little low. The numbers are just so big. My first question is, what will you do with all the money? Would you perhaps invest more in scrap? Ferrous scrap, non-ferrous iron ore, lots of opportunities and raw materials or resources. And second, you had a $418 million deduction from cash flow for accrued expenses. I was just curious, what was such a big accrual?
Theresa Wagler: John, I'll take the last one. That's a simple one. We have a companywide profit sharing plan. That's how we provide for retirement for all of our 12,000 people. And it's simply 8% of pretax earnings. And since we had a record 2022, we were able to give all the employees $422 million in total. And that payment went out in March. So that's the reason for the significant change.
John Tumazos: So it should really be almost amortized uniformly over the quarters from the standpoint of forecasting cash flow?
Theresa Wagler: Yes. Well, I mean, you could do it that way, but in actuality, it comes out in March. But, yes, you could look at it that way.
John Tumazos: The first quarter had that big deduction from it, and it was still a lot of money?
Theresa Wagler: That's correct.
Mark Millett: And actually, John, if you're within about 100 miles of any of our facilities on March the 15th, you would have heard the shout and screaming and the crying as to the amazing thing that is and it's massive, massive, massive boost to our employees. And as I tell each and every one of them, it is not a gift. Each and every one of them has earned that profit sharing check. So sorry that's profit sharing. Relative to investing our wealth, so to speak, scrap iron sort of backwardly integrating is not a primary target, certainly iron is certainly not a target at this moment in time. We will and we are looking at options for during a strategic supply of our own pig iron, a green supply, so that's ongoing but not a massive capital expenditure once we move forward with that. On the scrap side, we are spending money on segregation, different ways of cleaning up all the different scrap flows to maximize, a recycled content in the aluminum business and also to reduce the residual level of the obsolete flow again to supplant some of the prime scrap. And that's working out incredibly well, particularly when there's a good spread between obsolete and prime. Not only are you securing a flow of prime scrap, but the cost impact is very, very, very significant reduction in cost or savings. But again we are -- smaller, smaller investments in segregation there, you see us spend a few dollars expanding our scrap footprint in the Southwest, but we're not talking about anything that's going to impact the balance sheet. In all honesty, we expect that that cash flow to continue. And we will continue, I think just the same cash allocation strategy that we've had in the past with a strong balance sheet, huge liquidity, it allows us to have a balanced perspective. We'll continue to have a positive dividend profile. You saw us increase, was it 25% here earlier this year. We'll continue to repurchase our shares. We think it's still at an incredible value today, sure. We're continuing with the organic growth. We got the four coating lines going in, start up later this year. We got the aluminum project and the team for 30 years have continually found good, cost effective, high returning organic growth projects. And there's a bunch in the pipeline there. And obviously, we continue to review the sort of M&A activity as it comes across our desk. So we're very, very blessed for sure.
John Tumazos: Thank you. And congratulations.
Mark Millett: Thank you, John.
Operator: Thank you. That concludes our question-and-answer session. I'd like to turn the call back over to Mr. Millett for any closing remarks.
Mark Millett: Super, thank you. Well, again for those that are still on the call, I just want to appreciate your time today. Appreciate your support for our customers. Thank you, thank you, thank you. We can't do it without you. And to our sure, our team, each and every one of you, you do an absolutely phenomenal job each and every day. And just do one thing for us and me personally, be safe, look after each other. Have a good day. Bye-bye.
Operator: Once again, ladies and gentlemen, that concludes today's call. Thank you for your participation and have a great and safe day.